Operator: Ladies and gentlemen, thank you for standing by, and welcome to Sangamo Second Quarter 2022 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to your host, Louise Wilkie. You may begin.
Louise Wilkie: Good afternoon. I’m Louise Wilkie, Sangamo's Vice President, Investor Relations and Corporate Communication. Thank you for joining us on the call today. On this call, several members of the Sangamo executive leadership team, including Sandy Macrae, Chief Executive Officer; Mark McClung, Chief Operating Officer; Prathyusha Duraibabu, Chief Financial Officer; Jason Fontenot, Chief Scientific Officer; Rob Schott, Head of Development; and Bettina Cockroft, Chief Medical Officer. Slides from our corporate presentation can be found at our website, sangamo.com, under the Investors and Media section of the Events and Presentations page. This call includes forward-looking statements regarding Sangamo's current expectations. These statements include, but are not limited to, statements related to the therapeutic and commercial potential of our product candidates. The anticipated plans and time lines of Sangamo and our collaborators for initiating and conducting clinical trials; posting and screening of patients and presenting clinical data, execution of our corporate and funding strategy, advancement of our product candidates, advancements of preclinical programs to the clinic, the sufficiency of our resources, our 2022 financial guidance, key milestones and catalysts, and other statements that are not historical facts. Actual results may differ materially from what we discuss today. These statements are subject to certain risks and uncertainties that are discussed in our filings with the SEC, specifically in our annual report on Form 10-K for the fiscal quarter ended March 31, 2022, and our annual report on Form 10-K for the fiscal year ended December 31, 2021, as supplemented by our quarterly report on Form 10-Q for the fiscal quarter ended June 30, 2022. The forward-looking statements stated today are made as of this date, and we undertake no duty to update such information, except as required by law. On this call, we discuss our non-GAAP operating expenses. Reconciliation of this measure to our GAAP operating expenses can be found in today's press release, which is available on our website. Now, I'd like to turn the call over to our CEO, Sandy Macrae.
Sandy Macrae: Thank you, Louise, and good afternoon to everyone on the call. Sangamo continue to advance our mission to create potentially transformative genomic medicines for patients using our innovative technologies in the second quarter of 2022, with momentum across clinical stage programs as well as significant preclinical progress. This quarter, we received endorsement from the Fabry Phase I/II study Safety Monitoring Committee to advance our differentiated and wholly owned gene therapy program for the treatment of adults with Fabry disease from the dose escalation phase into the expansion phase. We already have multiple patients in screening and expect to dose two patients later this month. We continue to be pleased with the progress of this important program and look forward to sharing updated patient data later this quarter. BIVV003, formerly known as SAR445136, our Zinc Finger nucleases modified autologous cell therapy for the treatment of sickle cell disease, formally completed the transition back to being a wholly owned Sangamo program on June 28, concluding our collaboration agreement with Sanofi. I’m really grateful for Sanofi's cooperation on the transition. We expect to dose the next patient in the Phase I/II study in the third quarter of this year and look forward to sharing an incremental data update in the second half of 2022. Momentum continued behind TX200, our wholly owned autologous CAR-Tregs cell therapy product candidate in HLA-A2 mismatch kidney transplantation. Following the dosing of the first patient in March and what we believe to be the first in the CAR-Tregs cell therapy field. Most importantly, the patient remains well more than 4 months post transfusion. Manufacturing is complete for the second patient who received a kidney transplant in July, and dosing is planned for later this quarter. I continue to be thankful to the investigators for helping us break ground in this potentially transformative field of cell therapy. Regarding the Phase III hemophilia A gene therapy study, Pfizer [indiscernible] that expects to resume dosing the AFFINE trial in the third quarter of 2022 with a pivotal readout estimated in late '23 or early '24. Finally, I was thrilled to attend and see the reaction to Sangamo's important contributions at the American Society of Gene and Cell Therapy, ASGCT, Annual Meeting in Washington DC in May. We presented a total of eight posters and presentations detailing our highly innovative, early stage science, which we see as essential to fitting our ongoing pipeline of genomic medicines. I'm proud with the versatility of our scientific platforms coupled with a strategic and focused use of research and development capabilities, which are driving progress in our pursuit of indications of unmet need. I recognize the difficult market conditions though being experienced across the industry. We believe Sangamo's current financial position and the variety of options we have to raise for the funds, positions us well to continue developing new transformational medicines for patients in need and to generate long-term value for our shareholders. And with that, I'd like to turn the call over to our Head of Development, Rob Schott, who will discuss the data from our clinical programs in good detail. Rob?
Rob Schott: Thank you, Sandy. Good afternoon to everyone on the call. The second quarter marked another period of strong execution in the clinic and we are pleased with the progress across our programs. In the Phase I/II STAAR study evaluating giroctocogene fitelparvovec for ST-920, our wholly owned gene therapy program for the treatment of Fabry disease in adults. Two additional patients were withdrawn from enzyme replacement therapy or ERT. Out of the five patients that began the STAAR study and ERT, a total of four have now been successfully taken off ERT, one each in Cohorts 1 and 2, and two in Cohort 3, with discussions in progress to withdraw the fifth and final patient from ERT. I'm pleased to report that all four withdrawn patients have stable biomarkers, and an estimation of investigators have not required resumption of ERT. As Sandy mentioned, this quarter the Safety Monitoring Committee for the STAAR study endorsed progressing from the Phase I/II escalation phase into the expansion phase, at the 5e13 vector genomes per kilogram dose level. We expect to dose two patients imminently and have multiple patients with screening including both male and female candidates. A total of 16 study sites are now open in recruiting, including the first sites in Canada, Italy and Australia. The safety and efficacy from the dose escalation phase has been closely followed by investigators and interest in participation in the trial of this wholly owned therapy is growing among the Fabry community, including, most importantly, with patients. We look forward to providing updated results from the Phase I/II STAAR study during the second half of 2022, including at the Society for the Study of Inborn Errors of Metabolism, SSIEM, annual symposium taking place at the end of August. We also continue to actively plan for potential Phase III study and are engaging with health authorities, patient advocacy groups and investigators. As Sandy mentioned, on June 28, we assumed full control of BIVV003, formerly known as SAR445136 for the treatment of sickle cell disease, a promising program we're excited to have back as part of our wholly owned pipeline. In the Phase I/II PRECIZN-1 study, three of the four patients dosed with product candidates manufactured using the previous manufacturing process continued to be free of vaso-occlusive events since dosing. During this quarter, the patient who had achieved the lowest level of fetal hemoglobin post infusion experienced the second vaso-occlusive crisis. This patient has now fully recovered. During this quarter, manufacturing of product candidates using improved methods progressed in the Phase I/II study. These improved manufacturing methods have been shown in internal experiments to increase the number of long-term progenitor cells in the final product. We expect to dose the next patient in the study in the third quarter of this year and look forward to sharing an incremental Phase I/II data update before the end of the year. In addition, Phase III enabling activities, including manufacturing readiness actively continue. Progress continued in the Phase I/II STEADFAST study, our groundbreaking wholly owned TX200 CAR-Tregs cell therapy candidate for the prevention of immune mediated rejection in HLA-A2 mismatch kidney transplantation from a living donor. Following our announcement in March that we have successfully dosed, what we believe to have been the first ever patient with an engineered CAR-Tregs, the product candidate dose continues to be well tolerated more than 4 months post infusion with no treatment related adverse events. We're thrilled to report this important update as we believe it is a historic first. This quarter we completed manufacturing for the second patient in the STEADFAST study. This patient recently received a kidney transplant and is expected to be dosed later in the third quarter of 2022. We hope to dose the third and final patient in Cohort 1 by the end of 2022. We plan to provide further updates once we have meaningful package of data to disclose from our first complete cohort. In addition, this quarter, we are pleased to announce that the European Commission has granted Orphan Medicinal Product Designation to TX200 for the treatment in solid organ transplantation, following a positive opinion from the European Medicines Agency Committee for Orphan Medicinal Products. To qualify for Orphan Designation, a treatment must be intended for a life threatening or chronically debilitating disease affecting fewer than 5 and 10,000 people. Importantly, no satisfactory method of treatment must exist, or such a method exists, the treatment must be of significant benefit to patients. The achievement of this important regulatory milestone takes us one step closer to our goal of creating a transformative therapy that can reduce the likelihood of organ rejection, relieve the overall patient burden and minimize the risks that come with immunosuppressive medications. As reminder, this is the first in a pipeline of potential CAR-Tregs therapies that are working to develop to address a range of autoimmune conditions. In addition to TX200, Sangamo has an active preclinical pipeline with multiple candidates in development to treat inflammatory bowel disease and multiple sclerosis alongside our efforts to progress the allogeneic cell therapy platform. Finally, regarding the Phase III of AFFINE trial, evaluating giroctocogene fitelparvovec, an investigational gene therapy for hemophilia A, Pfizer advised us that it continues to expect to resume dosing this quarter with all necessary conditions are met, including approval of an updated trial protocols by regulatory authority. Pfizer has provided guidance study, Pivotal data readout is expected toward the end of 2023 or in early 2024. I will now turn the call over to our Chief Scientific Officer, Jason Fontenot, for updates on our preclinical research programs. Jason?
Jason Fontenot: Thank you, Rob, and good afternoon, everyone. I'm very pleased to report that we continue to leverage Sangamo's cutting edge genomic engineering and cell therapy platforms to advance both wholly owned and partner programs for the clinic. We're also making remarkable progress in expanding our proprietary genomic engineering toolkit and in developing novel AAV capsids to enable more effective, therapeutically relevant delivery of those tools. We shared a portion of this exciting progress at the ASGCT annual meeting in May where Sangamo's scientists presented seven poster presentations, and one oral presentation, demonstrating advancements across our research portfolio and highlighting the diversity and versatility of our genomic engineering platform. Notably, two of the ASGCT presentations showcase our world class AAV capsid evolution platform. The initial focus of this work is delivery to the central nervous system. We anticipate that more effective and efficient AAV mediated delivery to the CMS will allow us to deploy our genomic medicines to an even larger set of high value neurodegenerative and neurodevelopmental diseases. The ASGCT presentation highlighted significant and exciting progress in the development of engineered AAV capsids facilitating broad CNS coverage, using both cerebral spinal fluid administration and intravenous administration. Regarding our genomic engineering platform, this year ASGCT mark the unveiling of our compact and highly efficient zinc finger-based editor and the deployment of our epigenetic zinc finger regulators to engineered T cells and other immune cell types. The zinc finger-based editor can facilitate simultaneous [indiscernible] activation of multiple genes without introducing double stranded breaks, thus reducing the probability of chromosomal translocation events. A notable aspect of our beta editor is its compact architecture, allowing packaging into a single AAV vector. This is a critical requirement for the efficient use in many therapeutic applications, particularly in vivo. The epigenetic zinc finger regulators can be used for multiplex engineering of many cell types, including CAR T cells and CAR-Tregs, and has the potential to be deployed for both ex vivo and in vivo applications. I'm honored and privileged to represent the dedicated and innovative team of scientists at Sangamo. I'm convinced that our robust pipeline of preclinical programs and platform capabilities will serve Sangamo well in the years to come and deliver on our mission to translate groundbreaking science into medicines that transform patients lives. I will now turn the call over to our Chief Financial Officer, Prathyusha Duraibabu, for an overview of our financial results, Prathyusha?
Prathyusha Duraibabu: Thank you, Jason, and good afternoon. A detailed financial result for this quarter are available in the press release issued this afternoon, which can be found on our website. We ended the quarter with approximately $364 million in cash, cash equivalents and marketable securities, which we believe will enable continued execution across our platform and programs. As we navigate through these turbulent market conditions, we continue to exercise financial diligence and focus our investment in three key areas: advancement of our clinical programs including Fabry and TX200, progression of a preclinical CAR-Tregs and CNS pipeline, and optimization of our in-house manufacturing capabilities. Additionally, since the start of the second quarter through today, we raised approximately $40 million in net proceeds under our previously announced at the market offering program. This reflects our proactive approach to balance capital raises in these uncertain markets, and speaks to the continued investor interest in our company. Turning towards 2022 full year guidance, we continue to expect our 2022 full year non-GAAP operating expenses to be between $280 million to $310 million. This rate excludes estimated non-cash stock-based compensation expense of approximately $40 million. We expect a significant portion of our operating expenses to be invested in continued advancement of our lead programs, including Fabry Phase III planning activity, Phase I/II activities for TX200 and preclinical work in CAR-Tregs and neurology genome engineering indications. We also expect to continue our investment in sickle cell disease following transmission of the program back to Sangamo. I'll now turn it over to our CEO, Sandy, for closing remarks.
Sandy Macrae: Thank you, Prathyusha. 2022 continues to be a year of significant momentum for Sangamo. We're a clinical stage genomic medicine company with powerful innovative science, strong clinical execution capabilities and deep experience developing INDs supported by in-house manufacturing to meet the needs of our growing pipeline. We continue to bring these capabilities together to create hope among the patients who are working to serve a bright future for our company and the potential for long-term sustainable value for our shareholders. I am very grateful to our leadership team and all my Sangamo colleagues for their dedication and hard work toward our mission of creating transformational new medicines for patients. We look forward to sharing anticipated key milestones and catalysts throughout the second half of 2022, including additional Phase I/II data from our Fabry study dosing of additional patients in our Phase I/II study for sickle cell disease, and Phase I/II TX200 CAR-Tregs study and Pfizer's resumption of dosing in the Phase III trial in hemophilia A. So at this time, we'd like to open it up for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Greg Harrison with Bank of America. Your line is open.
Gregory Harrison: Good afternoon and thanks for taking our questions. First off, what should we be expecting from the next update from the TX200 program? Do you have a sense of how much follow-up duration and what other data points would you really need to see to establish proof-of-concept there?
Sandy Macrae: Thanks. Thank you for your question. We're very pleased to be driving forward with TX200 and delighted that the first patient has done so well and is 4 months so to say. Rob, what's the plan going ahead?
Rob Schott: As we've indicated in the call, we plan to complete the first dose cohort in 2022 and we will provide further updates once we have a meaningful package of data to disclose from that first complete dose cohort.
Sandy Macrae: We understand the excitement around this program and there are a number of Treg companies and we all see CAR-Tregs as potentially important medicine. So we look forward to sharing the results at appropriate time.
Gregory Harrison: Got it. Thanks. And then one more question, if I can. How does your base editor compare with the CRISPR based approach? And where could you be differentiated?
Sandy Macrae: Jason, this one is one for you.
Jason Fontenot: Yes, thank you for the question. We're very excited about the capabilities of our base editor. We think that it adds another dimension to the toolkit that we have, that includes nucleases, now based editors, transcriptional regulators that can either increase or decrease the expression of genes in a tunable way. So, our view is that having all of these tools is critically important to creating relevant therapeutics. One of the differentiating features of our base editor is its compact size. And that allows us to deploy it using a variety of delivery vehicles, including AAV delivery. So, given that range of tools, we think that we are able to address almost any need when it comes to genetic engineering, and we're really excited about it.
Gregory Harrison: Great. Thanks again for taking the question.
Operator: One moment for our next question. Our next question comes from Yanan Zhu with Wells Fargo. Your line is open.
Yanan Zhu: Hi. Thanks for taking my questions. So maybe on the Fabry study, I’m curious about the reason behind escalating the dose to cohort 4 dose. We've seen data from the first two dose cohorts and I thought the data was quite impressive, even with those low doses, and then you did the Quarter three, obviously. And for the optional quarter four you elected to further dose escalate. I’m wondering what are you trying to optimize with this higher dose and what's the desired outcome there? Thanks.
Sandy Macrae: Thanks for the question. We agree with you that the first two doses look very good. We've always planned to go up to 5e13. We decided to do it presumably [ph] in four steps. And we're looking forward to showing the data from the full trial as soon as possible. There are a series of medical meetings later this year that we will show more of the data. The safety profile was very, very benign and remarkable. And that allowed us to fulfill the full expansion of the dose exploration.
Yanan Zhu: Got it. Got it. That's super helpful. And on the TX200, just a quick question about the safety profile. I think you mentioned that the first patient has been treated and followed. And so far, there hasn't been any AEs concerning. That's great to hear. How -- of course, we were familiar with CAR T and CRS and all those kinds of AEs associated with CAR T. CAR-Treg is a very different kind of therapy. So what might be the AEs of interest that you are activity monitoring? Thanks.
Sandy Macrae: Thank you. Rob?
Rob Schott: We haven't seen any treatment associated AE so far, but one might expect potentially cytokine release types of reactions. It's an autologous product. So that's not very likely, but those are the things we're monitoring for. If the body is reacting to the introduction of an engineered CAR-Treg, even though it's the patient's own CAR T, but I want to emphasize that we have not had any treatment associated adverse events. But …
Sandy Macrae: It's the reason we do these studies in a very methodological way and take time between each patient, isn't it?
Rob Schott: It is. We're very cautious because this is a groundbreaking revolutionary therapy to deliver a CAR-Treg and we'll understand the full impact of that as we progress with the trial.
Yanan Zhu: Got it. Thank you for taking the questions.
Operator: One moment for our next question. The next question comes from Nicole Germino with Truist. Your line is open.
Unidentified Analyst: Hi. This is [indiscernible]. I'm on for Nicole. Regarding Fabry disease, you have additional sites in Canada, Italy and Australia. Can you talk about the market opportunity for Fabry in those geographies, if successful. And if you are successful, how you plan on commercializing the gene therapy? And then I have follow-up.
Sandy Macrae: Okay. So there's two questions. One about the clinical study, and one about the commercialization. So, Bettina, if you could take the clinical study and Mark [indiscernible] to the second.
Bettina Cockroft: Absolutely. So thank you for the question. Yes, we have opened sites now in additional countries. And as you point out, that is Italy and Australia and Canada. We have now 16 sites open in our Fabry study which positions us well for enrollment in our expansion phase that we're now entering. I will hand it over to Mark to …
Sandy Macrae: And, Bettina, we've seen a great deal of interest from patients.
Bettina Cockroft: Absolutely. Absolutely. And in fact, the early data we have shown and the interactions with the investigators has shown us that there was a lot of interest from patients. We are now screening more and more patients as we go along. And this is beyond the classic male patients who were part of the initial dose escalation criteria. We're now open to enrolling female patients with cardiac and renal involvement, and as such, there is interest also from these patient populations.
Mark McClung: So, just picking up from Bettina, obviously, as Bettina sort of summarize, our commitment is really to ensure that we successfully execute against the expansion cohort and plan for our Phase III. Fabry disease is not a disease that's just unique to the United States. It's a disease that comes out of a variety of different markets. So both the way we're approaching our clinical trial, and the way we're approaching our plans for commercialization, take that into consideration. As you know, we've not guided any specifics in terms of our plans for commercialization, but we'll do that at the appropriate time.
Unidentified Analyst: Great, thanks. And just a second on collaboration. Maybe can you talk about high-level about your partner program progress, kind of which part of the platform you're getting more attention from partners? And where should we stay focused on? Thank you.
Sandy Macrae: So one of the blessings about having unique technology platform is that we're constantly being approached with people exploring ways that they can collaborate with us, whether that be in terms of our gene engineering capabilities that Jason briefly touched on, whether that be opportunities to work together on capsid development or capsids that could be applied to our CNS programs. And so, that's a key part of our focus from a business development standpoint. But in addition, as we've talked about in the past, we've raised about $115 million, and potentially $6 billion to $7 billion in royalties that come from partners that approached us about utilizing our technology to take that technology into areas that we wouldn't otherwise do. And so I think the Biogen and Novartis continue to be great examples of that. And as we continue to confirm and validate our progress with our technology, we would expect other companies to approach us with ideas that they might have in terms of how they could utilize our technology, and we'd be pleased to have those conversations.
Unidentified Analyst: Great. Thank you.
Operator: One moment for our next question. The next question comes from Gena Wang with Barclays. Your line is open.
Harshita Polishetty: Hi, good evening team. This is Harshita on for Gena. Thanks for taking our questions. We had one on TX200. And then a follow-up on Fabry, if I may. Could you remind us again, what you hope to green from the biopsy data for TX200? If I remember correctly, I think Jason, one of the things you mentioned previously was biopsy data will show whether the Tregs are trafficking and accumulating in the kidneys. So I was hoping you could elaborate on this point. And then I'll ask the Fabry question after.
Sandy Macrae: Jason, think as you are immunologist, can you help us with the -- what we may see in the kidney?
Jason Fontenot: Yes, I think have that exactly right. That's what we'll be looking for. There are a few things. One will be localization of the cells to the kidney. And the other will be evidence that the cells are having some effect on the local microenvironment in the kidney. So those are both things that we'll be looking for using both immunochemistry and in situ [ph] hybridization. And we'll be exciting -- excited to share data as we assemble it into a meaningful data package.
Harshita Polishetty: Great.
Sandy Macrae: And more simply a procedure will also be ensuring that there's no signs of kidney rejection or inflammatory damage to the kidneys. So safety is very important in studies like this.
Harshita Polishetty: Makes sense. Thank you.
Sandy Macrae: And you have …
Harshita Polishetty: Yes, sorry, I had a …
Sandy Macrae: And the other question on Fabry.
Harshita Polishetty: Yes, yes. Thanks, Sandy. So on Fabry, a quick clarification. The two additional patients that came off ERT, which cohorts were this patients in? Apologies, if I missed that a bit in prepared remarks. And also, if you could level set what kind of data can we expect at the conference later this month, follow-up and any other metrics or details you can highlight? That would be helpful. Thank you so much.
Sandy Macrae: Thank you. Bettina, can you help us with this?
Bettina Cockroft: So we now have …
Sandy Macrae: Bettina?
Bettina Cockroft: Absolutely. Sorry about that. So we now have a total, just as a reminder, a total of nine patients dosed. Five of whom were dosed as they were on ERT. And of these five patients, four patients have now withdrawn from ERT. And that is one patient in cohort 1, the only one who was on ERT. Upon entering the study, the one ERT subject in cohort. Two who was on ERT, and two out of the three patients in cohort 3 who were on ERT. And just as a reminder, cohort 4 patients, the two patients who were dosed in cohort 4 are naive patients. And so what we will be -- to answer your second half of the question, what we'll be presenting later this month at SSIEM is incremental data. We will have data on six patients who are dosed based on the cutoff. And as a reminder, we had four patients presented at [indiscernible]. And so we'll have incremental data also from those four patients.
Sandy Macrae: And there are other potential times to show data later in the year?
Bettina Cockroft: Absolutely. We're planning additional data cuts and additional incremental data to be shared later at conferences later in this year.
Harshita Polishetty: Great. Thank you so much.
Operator: One moment for our next question. Our next question comes from Ben Burnett with Stifel. Your line is open.
Unidentified Analyst: Hi, this is [indiscernible] on Ben Burnett. Thank you for taking our questions. So one follow-up on the previous question of Fabry disease. Could you comment on the background of the patients dosed in cohort 3, and how their characteristics compared with patients in previous cohorts in terms of classical Fabry disease and biomarkers levels?
Sandy Macrae: So you're looking for some kind of background of the patients in cohort 3?
Unidentified Analyst: Correct. Yes.
Sandy Macrae: Bettina?
Bettina Cockroft: Sure. So I think I would point out that we are presenting detailed data at the end of this month. What I can say is reiterating what I've mentioned some of these patients are on ERT, some or not. The disease is -- has different potential mutations. So there are different mutations for each of these patients, but patients do have underlying classic symptoms of Fabry. And I think this is probably not the location to go into a lot of detail here. But suffice it to say that the index data will be presented at SSIEM at the end of this month.
Sandy Macrae: Was there a particular attribute or characteristic that you were trying to understand?
Unidentified Analyst: Well, you already touched on whether it was representing genome classic Fabry characteristics, and also if you could comment on biomarker levels?
Sandy Macrae: So I think we'll hold the biomarker levels for SSIEM, and we hope you'll be able to attend or view those. And then, as we've noted also dose four -- cohort 4 and then this month we are about to dose another two patients with six that were queuing up. You can understand that there'll be a constant pool of data throughout the rest of the year.
Unidentified Analyst: Understood. Looking forward to your next big update. Thank you.
Sandy Macrae: Thank you.
Operator: One moment for our next question. Our next question comes from Ritu Baral with Cowen. Your line is open.
Ritu Baral: Good afternoon, guys. Thanks for taking the question. Can you remind me of the target enrollment for your 5e13 expansion cohort in Fabry? And what is your target profile for that patient group? Really sort of the same question with cohort 3, but really applied to the expansion cohort? And then I have a follow-up on Fabry CMC.
Sandy Macrae: Yes, Bettina.
Bettina Cockroft: Yes, thank you. So the expansion phase of the study is going to enroll up to around 30 patients. We are targeting on enrolling not only male patients, but also female patients. This will be the first opportunity to enroll female patients, and patients who may have cardiac involvement or renal involvement predominantly. So this will allow us to really cover the essential aspects of Fabry disease.
Unidentified Analyst: So it's more of a sort of a clinical presentation rather than any particular mutation subtype that you want to diversify for?
Sandy Macrae: That's correct.
Bettina Cockroft: Correct.
Unidentified Analyst: Okay. Got it. And then any target number of females?
Bettina Cockroft: There is no particular target, although we are seeing interest from this patient population. So we anticipate enrolling several female patients and several patients. Female patients are already in screening in fact.
Sandy Macrae: This is -- this will be the first time that female Fabry patient has been treated. And we've -- it's been interesting to learn of their passion for treatment. They feel they've been not -- they've been overlooked, and that they too have an important disease. And so this -- it will be exciting to see that data.
Unidentified Analyst: Got it. And can you comment on CMC readiness for Phase III start? Obviously, [indiscernible] go into Phase III with your commercial product. How are you with assay development, validation, that sort of thing?
Bettina Cockroft: So, Phase III planning is in progress. I think that's as far as we'll be talking about that at this point. But suffice it to say, we've had and we're preparing for additional interactions with agencies. And therefore we're well underway with Phase III planning.
Sandy Macrae: Without the CMC.
Unidentified Analyst: Got it. And a more expansive question, last one, I promise Sandy. One of the more, I guess, spicy sessions at ASGCT was on reimbursement. And one of the things that the European -- one of the European advisors said was that they are working together to develop Phase III designs that were meaningful to European payers, given the challenges of gene therapies in your -- getting and paid for Europe as we've seen. Any thoughts on that, Sandy, as you think about Phase III harmonization and development? Nothing in particular, nothing binding, but what should we be thinking about at that development?
Sandy Macrae: So, I'm going to pass this spicy question to Mark. But Just before he answers to complete the last question, the CMC readiness, [indiscernible] is all under control, also set for Phase III. So we're very -- the team have been working hard in the background to get all these things ready. Mark?
Unidentified Analyst: Right.
Sandy Macrae: We’ve been working hard in the background to get all these things ready. Mark?
Mark McClung: Yes. So thanks for the question. I mean, I think we all understand the requirements of the European payer environment. And I think one of the things that I feel we need to do is not only focus on the clinical endpoints around the disease itself, but the impact that this has -- treating the disease has on the burden of illness on society. And so again, there are other competitors that are further ahead around commercialization in Europe. One in particular, that's guided that they really want to take a look at the overall benefit to reduction in burden and cost to the health care systems in Europe, to justify their pricing for their gene therapy. And so I think that's one model that one could approach to prove that actually patient -- treating these patients, the first costs that are being expended by the same payers, obviously, in Europe, but just in other parts of the health care system versus whether it's hospitalizations, or other treatments. So that -- so I think that data is going to be very important to collect with any gene therapy program. And certainly we're taking that into consideration as we evaluate the types of data that we want to collect in our studies.
Unidentified Analyst: Great, very helpful. Thank you, guys.
Operator: And one moment for our next question. The next question comes from Luca Issi with RBC. Your line is open.
Lisa Walter: Oh, excellent. Thank you for taking our questions. This is Lisa on for Luca. First off, congrats on all the progress on the quarter. Just a couple on Fabry. Wondering if you can remind us again, what the criteria is for stopping ERT? And I believe you mentioned in the prepared remarks that you are in discussions with this patient who was looking to stop ERT. I was just wondering if they are also in the cohort 3 group? Thank you.
Sandy Macrae: Bettina? So, Bettina, criteria for stopping ERT and who's the fifth patient.
Bettina Cockroft: So the criteria for stopping ERT really have not been outlined in detail in the protocol intentionally to leave this and the Phase I/II study open to the investigator in conjunction with the patient. And so it is criteria that those entities apply when they discuss this in conjunction with ourselves as well. The fifth patient is currently in discussion for ERT withdrawal. So …
Sandy Macrae: Who is that fifth patient?
Bettina Cockroft: [Multiple speakers] fifth patient cohort 3.
Sandy Macrae: Cohort 3. So it's the third patient in cohort 3, and the two patients in cohort 4 are not on ERT.
Bettina Cockroft: Correct.
Lisa Walter: Okay, got it. Thanks. Thank you so much. And maybe I'm not sure if you had said this before in the past, but just as you move to the dose expansion phase, are you going to be including kidney biopsies in that -- in the expansion phase?
Bettina Cockroft: Yes, indeed. We're going to be including kidney biopsies in patients who are naive or too naïve. We are performing that in fact, we have already performed kidney biopsies on the two naive patients in cohort 4. And so hope in the first half of next year to be sharing data from those first two patients.
Lisa Walter: Excellent. Thank you for taking our questions.
Operator: And one moment for our next question. Our next question comes from Maury Raycroft with Jefferies. Your line is open.
Maury Raycroft: Hi, thanks for taking my questions. I have one for Fabry too. Just wanted to check at what other conferences could we expect to see the full nine patients for Fabry? And just clarifying if we will see the data for the full nine patients in the second half of this year?
Sandy Macrae: Thanks for the question. There's -- there are several conferences coming up this year and into the beginning of next year. We're always cautious to not detail which conference we're going to until we have confirmation that there'll be a presentation there. So for now, we're only guiding to SSIEM.
Maury Raycroft: Okay. And will we see an update on all nine patients before the end of the year?
Sandy Macrae: We would hope so.
Maury Raycroft: Okay. Okay. And then, it looks like Pfizer's reiterating restarting dosing in third quarter of this year, but the pivotal data has been pushed back from second half to late '23 or early '24. Can you talk about why this data readout has been pushed back?
Sandy Macrae: I think we would guide you to speak to Pfizer, but that they hold the -- they communicate in all of this, but they continue to guide that they're due to start the study in this quarter.
Maury Raycroft: Okay. Okay. Thanks for taking my questions.
Operator: One moment for our next question. Our next question comes from Jason Shieh with HCW. Your line is open.
Jason Shieh: Hi. This is Jason on for Patrick. So I guess we -- the only question we have is around the sickle cell -- on hemophilia program. Sorry, the sickle cell program for BIVV003. So now that is a wholly owned and kind of return from Sanofi back to Sangamo, are there any potential plans to then partner it out again? And if so, will you be weighing until the Phase III trial design and when the plans are ready? Or will that be before that planning? Thank you.
Sandy Macrae: Mark, do you want to take this one?
Mark McClung: Sure. Yes, so as Rob covered in his part of the talk here, our focus now is to complete the precision Phase I study, and then we'll evaluate that. At the same time we're putting together plans for manufacturing as well as preparation of the Phase III study design. Once we've seen the data and take a look at that, relative to the competitive datasets, which very much about, we will make a decision on how we commercialize or whether we look for a partner. Just to reemphasize that this is a debilitating disease. There's roughly -- just in the U.S alone 20,000 to 30,000 patients that have severe disease. And so one of the things you need to remember is as we see approvals in this space, and hopefully we will, it's going to take some time for us to service that population, because you're constrained by your ability to manufacture their personalized cell therapy. And so we'll provide an update on that. In terms of our rationale behind partnering, we really look at partners where we believe that we can get the medicine to patients in a quicker timeframe, globally. And so, as we do with all of our programs, if there's a partner that that can allow us to do that faster, and at the same time ensure that we're getting the right level of return for ourselves and our investors that will do that.
Jason Shieh: All right. Thank you.
Operator: One moment for our next question. The next question comes from Andreas Argyrides with Wedbush. Your line is open.
Andreas Argyrides: Right. Good afternoon. Thanks for taking our questions. We're going to switch it up from Fabry and turn to sickle cell. Can you remind us what data have you seen that differentiates this program from the other gene therapy competitors? Can you repeat the comments around VOC in your prepared remarks? Also, what can we expect from the Phase I data list this year? And when do you plan to collect data outside of VOC that focuses more on prevention of progressive organ damage? Thanks.
Sandy Macrae: So thank you for your question. We've dosed five patients now and are looking forward to seeing the data from them and the subsequent patients. Only once we've seen that will we be able to make any rationale comment on differentiation. I also think it'll take a larger population of patients to properly understand that. Does that answer your question?
Andreas Argyrides: Yes, that was one of them. And in the prepared remarks, I didn't catch it. But there were some comments around VOCs. If you could clarify that. And then, as far as what data we can expect, a lot of the community is focusing on VOCs, but less is focused on prevention of progressive organ damage, which is a pretty important aspect. Do you plan to collect data? And if so, when at what point would you plan to collect data on that? Thanks.
Sandy Macrae: So, Bettina, can you clarify about the VOC? And then I'll make additional comment.
Bettina Cockroft: Sure. So for the VOCs, we had already mentioned one patient out of the four patients dosed that we presented at ASH last year had one VOC, this patient had a second VOC, and that's a patient who had the lowest hemoglobin levels. It's important to mention that that patient is now doing well and that all the other patients have not presented any VOCs are doing remarkably well.
Sandy Macrae: And that patient was dosed with the original process which the fifth patient and subsequent patients will be dosed with a much improved form that increases the long-term progenitors. I think it makes a good point that VOCs, though, are very important. As a doctor, having treated patients with VOCs is a horrible disease and the patients suffer greatly from it. But there's also a second underlying whether it's a micro VOC type damage that you get in the -- results in these patients having significantly shortened life expectancies. And we would hope that over the course of the trials and longer study, we would also show a benefit for that. But that's going to take us going to be a harder, longer time thing to prove. But it clearly is important to the patients, and it speaks to treating them as young as possible. So as they do not accumulate damage before they get this remarkable treatment.
Andreas Argyrides: Right. Thanks for the clarity on it. Thank you.
Operator: And I'm not showing any further questions at this time. I will turn the call back to Louise for any closing remarks.
Louise Wilkie: Thank you once again for joining us today and for your questions. As a reminder, you can access the earnings release and presentation on the Investor Relations section of the Sangamo website. We look forward to keeping updated on our future -- to keep you updated on our future development.
Operator: Ladies and gentlemen, this concludes today's presentation. You may now disconnect, and have a wonderful day.